Operator: Good evening. My name is Erica, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Q2 FY ’09 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. (Operator instructions) I would now like to turn the call over to Mr. Rick Black, Director of Investor Relations. Mr. Black, you may begin your conference.
Rick Black: Hello Erica. Thank you and welcome everyone, again, to Luby's second quarter fiscal 2009 conference call. This call is also being webcast and you can access the audio replay on our Web site at Lubys.com. Before we continue, I would like to remind you that the statements in this discussion, including statements made during the Q&A session, regarding Luby's future financial and operational results; plans for expansion of the company's business, including the expected financial performance of the company's prototype restaurant and future openings of new or replacement restaurants, are forward-looking statements and involve risks and uncertainties included but not limited to, general business conditions; the impact of competition; the success of operating initiatives; changes in the cost and supply of food and labor; the seasonality of the company's business; taxes; inflation; governmental regulations; and the ability of credit, as well as other risks and uncertainties disclosed in the company's periodic reports on Form 10-K and Form 10-Q. I would now like to turn the call over to Luby's President and CEO, Christopher Pappas. Chris?
Christopher Pappas: Thank you and welcome to our second quarter conference call. As you are all aware, the current economic pressures on our industry continue to negatively impact our restaurant sales. In the second quarter, our same-store sales were down 5% which is also our trend for the first half of fiscal 2009. Clearly, we are not satisfied with this negative sales trend; however, we are in line with other recent casual dining same-store sales trends of down 5% to 6%. Later in today's call, I will discuss the initiatives and promotions that we continue to develop, test, and introduce that are designed to increase customer frequency and drive restaurant sales. In spite of all the current macroeconomic pressures everyday inside the four walls of each and every store, we continue to do what we’ve always loved doing, what we've always done well serving great wholesome scratch cook meals that make our customers want to return again and again. We have an extremely high frequency compared to many other restaurant chains in the marketplace. And despite the negative sales trends in the first half of 2009, we've held our restaurant margins during the quarter with a slight year-over-year improvement and a 3 point sequential improvement from the first to second quarter of this year. The operating environment today is extremely challenging, but we believe if we continue to operate at a high level, provide excellent service, and continually innovate our product offerings, we can outperform our industry over the long term. I would like to now turn the call over to Scott Gray, our CFO to review our financial results in more detail. Later in today's call, I will discuss the initiatives taking place at Luby's to manage our business during this economic slowdown.
Scott Gray: Thanks, Chris. Good afternoon everyone. I will now take you through our financial results for the second quarter as well as provide a few comments on the amendment to our credit facility that we announced in today's press release, followed by an update on our current outlook for fiscal year 2009. Starting with the income statement; income from continuing operations in the second quarter was $196,000 or $0.01 per diluted share compared to income from continuing operations of $307,000 or $0.01 per diluted share in the same quarter last year. Excluding favorable claims expense, income from continuing operations in the second quarter 2009 was a loss of $0.01 per diluted share. This compares to income from continuing operations of $0.04 positive per diluted share adjusted for the impact of special items in the second quarter of 2008. Total sales decreased 2.7% in the second quarter of fiscal 2009 to $70.7 million compared to $72.6 million in the same quarter last year. Restaurant sales were $67.7 million, a decrease of 4.7% compared to the same quarter last year. Approximately 1.5% of the decline relates to the net effect of sales from closed stores partially offset by new store sales. Same-store sales was consisted of 117 restaurants, decreased approximately 3.2 primarily due to declines in guess traffic, partially offset by higher menu prices. The second quarter fiscal 2009 benefited from the favorable timing of Thanksgiving at the beginning of the quarter, and to lesser extent was adversely affected by the unfavorable timing of Lent which began after quarter end. Adjusted for the timing of these two holidays, which Chris mentioned earlier, we estimate same-store sales declined 5% in the second quarter fiscal 2009. Year-to-date, our adjusted same-store sales have declined 4.4%. Moving onto other sources of sales; culinary contract services revenue increased to $3 million in the second quarter compared to $1.7 million in the same quarter last year. The increase was due to growth in the total number of culinary contract service operating facilities to 12 locations as of the end of the second quarter compared to nine at the end of the same quarter last year. Culinary contract services continues to profitable after G&A costs. Food costs decreased approximately $1.1 million in the second quarter compared to the same quarter last year due to lower sales volume. Food costs as a percentage of restaurant sales, however decreased to 27.9% from 28.1% in the second quarter last year, primarily due to higher menu prices, partially offset by increased commodity costs for seafood, beef, oils and shortening. Moving on to payroll and related costs; payroll and related costs decreased $500,000 in the second quarter compared to the same quarter last year due to lower crew overtime and lower management costs offset by higher average wages paid to crew employees. Payroll and related costs as a percentage of restaurant sales increased to 35.4% from 34.5% in the same quarter last year primarily due to reduced restaurant sales. As a percentage of sales, the current quarter benefited 75 basis points due to a reduction in workers’ compensation expense. Adjusted for this benefit, payroll and related costs were 36.2% of restaurant sales in the quarter. Other operating expenses decreased by approximately $1.3 million compared to the same quarter last year. As a percentage of restaurant sales, other operating expenses decreased to 21.1% compared to 22% in the same quarter last year. The decrease was primarily due to one, an approximate $700,000 reduction in repairs and maintenance expense related to improvements in cost controls, two, an approximate $300,000 net decrease in restaurant supplies and other operating expenses on reduced restaurant sales, and then three, an approximate $300,000 reduction in guest claims expense. Store level profit, which we define as restaurant sales minus cost of food, payroll and related costs, and other operating expenses, were $10.5 million or 15.6% as a percent of restaurant sales compared to $10.9 million or 15.4% last year. Adjusted for the reduction in workers’ compensation and guest claims expense, store level profit in second quarter 2009 was $9.7 million or $14.3 million, which is an improvement sequentially from $11.2 million in the first quarter fiscal 2009, excluding Hurricane Ike expenses. Depreciation and amortization expense increased approximately $300,000 in the second quarter compared to the same quarter last year due to a higher depreciable base resulting from prior year restaurant upgrade and remodel activity. Moving on to general and administrative expenses; G&A decreased by approximately $1.3 million in the second quarter compared to same quarter last year. As a percentage of total sales, general and administrative expenses decreased to 8% in the second quarter compared to 9.5% in the same quarter last year. The decrease was primarily due to proxy costs in the prior year of $1.1 million not in the current year, and then two, approximately $200,000 in reduced corporate salaries expense related to a reduction in corporate staffing levels. Now moving on to the balance sheet; at February 11, 2009, we had $2.3 million in cash and cash equivalents and $6 million in loans outstanding from our credit facility. As of today, March 18, 2009, we have $3 million in loans outstanding under our credit facility. The credit facility was tapped and utilized to pay down accounts payable, including property taxes due in January of ‘09. In property held for sale as of February 11, we had six owned properties and four ground leases recorded at $6.1 million, which are valued at the lower of net depreciable value or net realizable value. There were no store closures and no property sales during the second quarter; however, we did have impairment charges totaling $233,000 that reduced the carrying value of the remaining properties held for sale. Long-term assets include $7.9 million in auction rate municipal bonds, which were impaired in the fourth quarter of 2008 and in the second quarter 2009 due to their illiquidity. These bonds have a par value of $8.85 million. On a year-to-date basis, cash flow from operations was a loss of $1 million this year compared to $10.8 million last year, primarily due to a $9 million decline in restaurant sales. Capital expenditures were $8.8 million this year compared to $14.8 million last year due to the reduction in planned capital expenditures for fiscal 2009. Today we also announced an amendment to our credit facility that relaxes capital expenditure limits over the remaining 38-month term of the agreement. As we have discussed before, we plan for future growth to be generated primarily by cash flow from existing operations. However, this first amendment to our unsecured credit facility provides flexibility to fund existing restaurant capital expenditures and capital for new culinary contract service projects. The primary changes to the agreement include a reduced total facility from $50 million to $30 million, relaxed restrictions on capital expenditures and modified interest rates, while retaining the original $100 million accordion feature. This credit facility remains unsecured and was amended with our two original bank partners. Now I would like to provide an update on the fiscal year 2009. Outlook, keep in mind any outlook provided is always subject to risk and uncertainties, particularly in the current environment. In general, our outlook for the full fiscal year assumes that the existing market conditions will continue to negatively impact our guest frequency and restaurant sales, which will continue to impact our margins. Based on our outlook and recent decline in cash flows from operations, we expect capital expenditures for fiscal 2009 to be in the range of $12 million to $15 million, down from the $12 million to $17 million range we provided at the beginning of the year and at last quarter. With respect to sales, we expect same-store sales to continue the current negative trend for the remainder of fiscal 2009, and we anticipate that recent sales pressures in our small and midsize markets could negatively impact our sales further. We currently anticipate culinary contract service sales from existing contracts to total $13 million for fiscal year 2009. With respect the food costs, we continue to expect food costs as a percentage of restaurant sales to be between 27% and 28% in fiscal 2009. A slight improvement we expect in certain commodities will be offset by promotion offers to improve customer traffic, which Chris will be discussing in a moment. Labor costs, we expect payroll and related costs as a percentage of restaurant sales to be between 35.5% and 37.5% in fiscal year 2009. Other operating expenses, we are slightly lowering our expectation for operating and other expenses for fiscal 2009, excluding opening costs to between $71 million to $73 million. G&A, we are lowering our expectations for general and administrative expenses to be in the range of $24.5 million to $26 million in fiscal 2009. While economic conditions remain challenging, our team has done a good job of lowering certain controllable costs that have resulted in better than expected results in the second quarter. Our operations team remains focused on successful execution of our sales initiatives and cost controls. And with that, I will now turn the call back over to Chris.
Christopher Pappas: Thanks Scott. During my remarks, I will discuss initiatives and promotions that we have implemented to improve customer frequency and restaurant sales during this challenging economic environment. I will also discuss our continued focus on growing profitability and cash flow from existing operations. Finally, I will review our culinary contract services business and comment on our newest restaurant opening. Restaurant industry can often be a leading indicator of consumer sentiments, which we were well aware of last year when we began to see top line pressure in our business. The first real pressure on consumer spending last year was the steep price rise in gasoline prices. And as the macroeconomic economy began to show signs of weakness, we were evaluating sales initiatives, product offerings, and promotional ideas to maintain margins and retain restaurant sales during an economic slowdown. During the first and second quarter of fiscal 2009, we have trialed several sales initiatives in different markets based on product offerings, price points, and day part. Based on feedback from our customers and operators and general managers and in conjunction with our analysis of the results, we believe that continued to provide product innovation and communicating value offerings to our customers will start to drive sales. Beginning with our Lent promotion of February 25, we introduced a new offer that features a choice of three new items as daily specials company-wide for only $6.99, a Creamy Shrimp Alfredo, a Cajun Etouffee, and a Luby's Grilled Tilapia with a choice of three homemade sauces. All three of these offerings come with two sides and a roll for $6.99. After the conclusion of Lent, we plan to maintain our daily special offerings at $6.99 and we will be introducing new product offerings at this price point. We are currently trialing in specific markets and day parts certain offerings specific to kids and seniors as well. In addition, we have increased the frequency of our e-mail blast campaign as well as doing promotion mailers and inserts in value packs. Our strategy is also comprised of offering premium products that are higher priced items for us and our guests, but we believe are great value to certain guests, especially when compared to other casual dining establishments. We have recently introduced such items as a 12 ounce Texas ribeye for $13.99, a jumbo bone-in pork chop at 14 ounces and we have begun a Tuscan Chicken that is a chicken breast at $10.49, just to name a few. We have recently begun increase our regionalizing of our menu offerings based on feedback from our guests and our general managers to approximately 20% to 30% of the entree offerings. Some of the stores sell more of the high-end items and need more of those items, and some of the other stores want more value type offerings as we are seeing in the marketplace. So we are regionalizing these menus at certain locations to fit the markets that we are in. Management will continue to monitor, evaluate and revise these sales and marketing initiatives along with product innovations to best serve our various markets and maximize our results. We remain committed to the cost management efforts we have discussed with you in the past. We continue to focus on effective labor and deployment. Through advancements and use of our technology at the store level, restaurant managers are better able today to monitor and control and put their labor staff in a position that their hours are much more controlled and predictable without compromising customer service. The current economic conditions may also provide certain opportunities that could benefit Luby's in the future. As our industry experiences some contraction, we hope that our strong brand and cafeteria delivery system will help us gain market share. Our national value proposition should also be an advantage over our peers if we can execute at a high level and find value propositions that increase frequency. And from a product offering and pricing strategy, we’ve broaden our mix over the past several years we should help us continue to offer premium products at higher price points and continue to serve our value customers with our daily specials and our Lu Ann offerings that are so popular. Moving now to our culinary contract service business, as Scott mentioned before, our revenue growth has been steady as we have grown our client base over the past two years. In this line of business, we provide food service at health care and institutional facilities. As we continue to grow the number of facilities we operate our reputation and brand equity continue to grow, especially in health care industry. As an industry that is still experiencing a tremendous amount of growth in our markets, health care, hospitals and facilities are growing quite significantly in number. We see this as a great way to expand the Luby brand. The ability to open up our brand up to these facilities is a great way to continue our growth even in the midst of the economic times. Before we turn the call over to your questions, I would like to give you an update on our development program. Last week, we began a soft opening at our new Plano location. This was a site we closed in 2002 due primarily to an undeveloped and under-populated area. In recent years, the area has grown and developed, making this location much better prospect for business today. We have remodeled this restaurant with our prototype design and have installed our Bob Luby's seafood concept into this location. This store is located in the high-end suburb of Dallas which we believe could benefit our seafood concept. We hope to have a better night business with this seafood business than a traditional cafeteria at this location. We currently plan to publicize a grand opening over the next month or so. Our strategy to enhance shareholder value remains constant. In the near term, we are committed to improving existing store level execution and operating margins. Long term, our plan is to continue to expand our brand by opening new restaurants and growing culinary contract services. We believe that the focused execution of our near term and long-term plans will enhance shareholder value. With that, I would now like to open the call up to your questions. Operator?
Operator: (Operator instructions) Your first question comes from the line of Will Hamilton with SMH Capital.
Will Hamilton – SMH Capital: Hi. Good afternoon guys.
Christopher Pappas: Good afternoon, Will.
Will Hamilton – SMH Capital: Just a first question on sales trends, you mentioned that some of the smaller and mid markets for you guys have possibly slowed a little bit more, but I was wondering if you could talk about the Texas market as a whole or maybe focus on the larger markets, metropolitan markets and whether there has been any stabilization recently. Certainly there's some of your competitors have made recent comments that after disastrous December and January period, that it appears that some consumers are starting to come back. So I was wondering if you could just give us your thoughts on that. And of course certainly Texas has held up better recently than other markets.
Christopher Pappas: Sure. Will, thanks for that question. The comment related to the smaller markets primarily relates to the lower Rio Grande Valley area that is experiencing some border issues. So I'm just basically thinking that could negatively impact us going forward. Our major markets, from – our reported results for the quarter were down, adjusted same-store sales 5% for the whole company. Our Houston market and our Dallas market are slightly better than that, both of them. So – with Houston better than the Dallas/Fort Worth area. And Houston is where the largest concentration of stores are.
Will Hamilton – SMH Capital: Okay.
Operator: Your next question –
Christopher Pappas: Go ahead Will.
Will Hamilton – SMH Capital: And then you just mentioned that the Bob's seafood opening, is that something that you think could expand to some other locations as sort of a second concept for you? Or is this kind of just a preliminary test on that? And then is that included in the original target of one to two openings and do you anticipate any other openings this year?
Christopher Pappas: I will answer the last one. That will be the only one we get opened this year. And as far as does it represent a test, we do have – and you will recall that we did have two of those and we still have the Huntsville store in operation. We had one at Wachahatchie that was a redo of an existing store and it’s a very small town in Huntsville that we are in. And so we have been comfortable with how that store has done there, and we said, “Why not do another one of these some place along the way,” and after looking at this store and where it was at in the marketplace, we decided to go ahead and give it as a shot as a Luby's seafood. It has the capability to be converted back into a cafeteria if we choose to, but we said, “Why not go ahead and open it up as a seafood in a bigger market and see how it does,” So do we do some more of these along the way, we always determine that by the success of – that we experience, so that will be to be determined.
Will Hamilton – SMH Capital: Just turning then to the cost side, on food costs, a number of other companies have also said that they have seen some easing of food costs. I know that in your press release you talked about some of oils and shortening and seafood still being a little bit higher. But is that something that you're also seeing where some of the costs for certain food items had started to work down after grain prices fell last year and some other things have come down.
Scott Gray: Yes, Will, this is Scott. We have seen it during the course of the quarter, every period, every four weeks, we kind of see improvements throughout the second quarter. From a standpoint of looking at – for the full year, we're going to continue to focus on promos that are helping to drive traffic. We recently did a Lu Ann promo (inaudible) some of your research may have found it, how we’ve used that and we have our $6.99. So we feel like that’s kind of offset some of that as we move forward.
Christopher Pappas: We feel like that's a better use of the value proposition is to be able to offer something that with some of the reduced protein prices that we are seeing out there in the marketplace, to offer some bigger values to drive traffic.
Will Hamilton – SMH Capital: All right, thanks. I will get back in the queue.
Christopher Pappas: Okay.
Scott Gray: Thanks, Will.
Operator: Your next question comes from John Kohler with Oppenheimer & Close.
John Kohler – Oppenheimer & Close: Hi, good afternoon.
Scott Gray: Good afternoon.
Christopher Pappas: Good afternoon, John.
John Kohler – Oppenheimer & Close: I was wondering if you could talk about any progress you might be making on the properties that are held for sale? If you are seeing any interest or how that’s progressing?
Scott Gray: We always have some interest on some properties, and really just wait to report the results once we close the deal. Again we have – we actually will have – we had a subsequent event in the third quarter, we did sell one additional property, which was approximated at the carrying value. So we have had some activity in the third quarter, which I believe we are going to include a little note in our Q we will file at the end of the week. No sales as I mentioned in the second quarter.
John Kohler – Oppenheimer & Close: All right. That's good news, though.
Scott Gray: Yes, we had a sale in the first quarter and one in the third.
John Kohler – Oppenheimer & Close: Okay. Great. And marketing expenditures, I don’t know if I heard what you plan on spending for the back half.
Scott Gray: We are basically kind of at a 1% sales, and feel that we have got a new brand agency we are utilizing as we go forward, and we are really focused on being smarter about utilizing radio versus TV, which is more expensive and then also continue to push up our promotions is the leading driver.
John Kohler – Oppenheimer & Close: Okay.
Scott Gray: So, we see it as being flat with the previous year.
John Kohler – Oppenheimer & Close: Okay. And how are you going about gauging the success of that? Anything scientific, or –
Scott Gray: Absolutely. We have established a baseline, we look primarily to focus on traffic right now and which ones that have shown some incremental traffic improvement on a test basis, we've decided to roll company-wide, which we – Chris had mentioned the $6.99 was successful, and we're planning to keep that in place.
Christopher Pappas: I think it will build slowly. I think value proposition with us where the guests start coming and trading with us at a different price point when they feel they want a little lower price point, and those same guests we are finding that you bring them in and often times, they will go ahead and get one of the higher end premium items as well. So finding kind of what we call an in-industry and retailers are calling it their high-low strategy, we are going to have some items that are higher priced than we have seen before and had before and that are getting a very good response from guests that want a good ribeye or a good protein at lunchtime or dinner, along with side-by-side will be a $6.99 item or even $5.99 item. And they can be right next to each other, and we're getting a great response and comments on both of those offerings.
John Kohler – Oppenheimer & Close: That's great. I am wondering how you positioning, you said you are going to target the higher priced products and try more regional marketing and I am just wondering how you go about balancing that without diffusing your message.
Christopher Pappas: Well, we do it at the local stores. They will have probably – we have usually about 14 different – 12 to 14 different proteins everyday in the store and we will probably have a commonalty of probably eight to 10 of those will be common. And then that local store will probably decide that “Hey, better for my market is give me this, this and this at this price point,” This goes very well and will generate more traffic if you sell this. So I don’t think it deflects from what we are doing. I think a lot of our menuing and our advertising is directed toward value at a price point. And we are, our billboards that we are using in Houston, they say "Come Eat with Luby's and Spend Less Clams" and then it has a large $6.99 set sign that probably takes up a quarter of the sign. So we want to tell that guest that you can eat in here at a very reasonable price. So we are using price now to talk to the customer.
John Kohler – Oppenheimer & Close: Last question and then I will get back in the queue, is the culinary contract pipeline – I was wondering if you could quantify how the sales progressing? If you are making more sales calls, how many of those you might be making knowing it is a lumpy conversion process.
Christopher Pappas: I think – actually, we are seeing quite a few hospitals, facilities want to revisit their culinary side because right now, there's a lot pressure on the cost side as well. And so they are looking at how they can reduce their patient costs, their day costs as well. So we are getting more calls to Luby's to come visit and talk about food service. So, we think it is very positive right now.
John Kohler – Oppenheimer & Close: I was – I have been hearing lots of stories similar on pressure cost wise on institutions I was hoping it was translating –
Christopher Pappas: Yes, it is. It is stirring them up.
John Kohler – Oppenheimer & Close: Okay, great. All right. I will jump back in queue then. Thank you.
Scott Gray: Thanks, John.
Operator: (Operator instructions) You have a follow up question from Mr. Will Hamilton with SMH Capital.
Will Hamilton – SMH Capital: Scott, can you give a little bit more detail on the new credit facility in the sense of the new interest rate that's on that?
Scott Gray: Yes, basically – that's a good question. Basically, the grid we had before was 0.75 over LIBOR to 2%. We basically expanded that to 175 to 250. And we have an interest floor which right now is a little bit of a gap from the current agreement, the (inaudible) is 3.5%. But to the extent that the interest rates begin to rise in the future, that would be really a non-issue for us. So our rate will be converting from, right now our LIBOR plus 0.75 to a 3.5% rate.
Will Hamilton – SMH Capital: And is there restrictions on capital expenditures?
Scott Gray: What we have done with this is that's really we've proactively got with our banks and talked about the capital expenditures limits, which were primarily tied to trailing EBITDA and allowed for more flexibility going forward given our forecast. So you will see in their release it is a limit of the greater of now of $20 million or last fiscal year's EBITDA, not the trailing numbers, so we can stick to a budget at the beginning of the year and not having it change throughout the year. So it is, Will, adequate for our plans.
Will Hamilton – SMH Capital: Okay. On the other operating expense line, real benefit you got was real benefit you got was from R&M. Is that something that is going to continue? Obviously, you are remodeling less than last year, but was second quarter a year ago a much higher number versus maybe what you will see –
Scott Gray: That's the question we are asking ourselves, Will. Will it continue, and we are hoping that after we see this next quarter, we will be able to comment on that. But we feel like that the information we are getting as we talk our teams is that we have been able to find some cost saving strategies that have been working since we paid off this quarter. So hopefully it will continue, but no promise at this point.
Will Hamilton – SMH Capital: Any benefits kicking in on the utility side –?
Scott Gray: Utilities, again, as we – again, we have approximately 30% of our restaurants are floating as it is and not in the deregulated market. So obviously, those are going to improve year-over-year given the push down on the prompt [ph] month's pricing on natural gas. So we feel that it will tend to be flat to positive against last year. So it is continuing to look better, but who knows when it’s going to turn.
Will Hamilton – SMH Capital: Okay. Thanks.
Operator: Your next question comes from the line of John Kohler with Oppenheimer & Close.
John Kohler – Oppenheimer & Close: Okay, I guess it's just the two of us.
Scott Gray: John, okay.
John Kohler – Oppenheimer & Close: I was wondering if you can talk a little bit about traffic versus price in some more concrete figures. What traffic was down and what pricing was up?
Scott Gray: Sure. Typically what we’ve been doing is again, we – as Chris had mentioned, we’ve got a combination of things going with our high-low strategy, trying to kind of average out to consistent price and also be able to take our customers, as we have over the years, offering things at Luby's that were never offered before. And by doing that, you really don't really have a comparison, because you have something there that was never there before. So it's really – we really look at it as what is our net sales doing and then we – obviously, we watch our traffic, and we want to see that the trend on the traffic year-over-year is improving. And so that’s our focus.
John Kohler – Oppenheimer & Close: Okay. You don’t have any – you want tell what price you took in the quarter?
Scott Gray: We feel that we really will not necessarily give the direction [ph] adequately again, because we are introducing items that is weren't on our menu before.
John Kohler – Oppenheimer & Close: Okay. Can't blame a guy for trying. All right. Thanks.
Scott Gray: Thanks.
Operator: There are no further questions at this time. Mr. Pappas, do you have any closing remarks?
Christopher Pappas: Thank you, again, for your continued interest and investment in Luby's and we all look forward to visiting with you on our next quarterly conference call. Thank you.